Operator: Good day ladies and gentlemen and welcome to the Heritage Global Inc. Second Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference over to John Nesbett of IMS Investor Relations. Please go ahead, sir. Please go ahead.
John Nesbett: Thank you, and good afternoon, everyone. Before we begin, I’d like to remind everyone that this conference call contains forward-looking statements based on our current expectations and projections about future events, and are subject to change based on various important factors. In light of these risks, uncertainties and assumptions, you should not place undue reliance on these forward-looking statements, which speak only as of the date of this release. For more details on facts that could affect these expectations, please see our filings with the Securities and Exchange Commission. Now, I’d like to turn the call over to Heritage Global’s Chief Executive Officer, Mr. Ross Dove. Ross?
Ross Dove: Thanks, John, and good afternoon, everyone. Welcome to our second quarter 2021 earnings conference call. We will start today’s call with Brian Cobb, VP of Finance, who will discuss the financial performance for the quarter. Brian you’re up.
Brian Cobb: Thanks, Ross. The company achieved operating income of $73,000 for the second quarter of 2021 compared to operating income of $1 million in the second quarter of 2020. This decline was primarily due to delayed assets supply resulting in lower volumes across both our industrial and financial asset divisions. For the six months ended June 30, 2021, the company achieved an operating income of $1.1 million consistent with operating income for the six months ended June 30, 2020. Net income decreased to $600,000 or $0.02 diluted earnings per share for the second quarter of 2021, compared to $2 million or $0.07 diluted earnings per share in the second quarter of 2020. Net income year-to-date was $1.6 million compared to net income of $2.1 million for the six months ended June 30, 2020. The company recorded EBITDA of $200,000 in the second quarter of 2021 compared to EBITDA of $1.1 million in the second quarter of 2020. Adjusted EBITDA was $200,000 compared to $1.2 million in the second quarter of 2020. EBITDA for the six months ended, June 30, 2021 was $1.3 million consistent with the prior year period. Adjusted EBITDA for the six months ended June 30, 2021 was $1.7 million compared to $1.5 million for the prior year period. At June 30, 2021, the company had aggregate tax net operating loss carry forwards of approximately $78 million, including $62 million of unrestricted net operating tax losses and approximately $16 million of restricted net operating tax losses, substantially all of the net operating loss carry forwards expire between 2024 and 2037. Finally, turning to our financial position, our balance sheet remains strong with networking capital of $12.6 million in stockholders’ equity of $31 million as of June 30, 2021. With that, I will now turn the call back over to Ross Dove.
Ross Dove: Thank you, Brian, for the overview of the quarter. I’d like to add some color to the achievements, not always as evident in 90-day results. Hopefully, it’ll reflect where we’re going in each business segment and demonstrate why we remain excited about very promising growth opportunities over the next 24 months. Our financial and industrial asset division has seen a contraction in supply and also increased pricing with both divisions, finding road to ebbs and flows, and experienced lower income for the quarter. Importantly, we have stayed very active in relation to the competition and gains market share in both business segments. As supply is now returning in both financial and industrial sectors, we expect a very positive increase in asset flow and our profits to follow. Let me start with the two financial assets, revenue streams, NLEX is a leading broker of charged-off plugs, and Heritage Global Capital, which is a niche lender to purchasers of charge-offs from the financial institutions. NLEX has faced true headwinds in the current cycle with consumer spending delay and stimulate checks properly and successfully used to retire debt. As a result, prices have reached record level, while the supply of assets to sell has reached record lows. The bright side looking forward is we see a large uptake in consumer spending over $27 billion increased this quarter alone to last it’s really simply followed money as it’s been proven time and again, that the future of our supply correlates to rising spent, clearly this also builds well for Heritage Global Capital will have increased flow as our onboarded embedded in qualified borrower base was already showing increased active. Moving to our industrial assets. The pandemic actually helped prices of quality used manufacturing and processing equipment, primarily due to supply chains delays on new equipment orders. That said many closed plants have taken a wait and see approach, choosing to mouthful of plants versus sell as a way to address supply when there is much more clarity. In the market, the bright side is in talking with clients in the planning stages. We anticipate an uptick in surplus dispositions going forward. This is coupled with large enterprises pacing a far greater ESG growth on surplus being recycled and repurposed to avoid tons of landfill and rapidly deploying zero carbon initiatives. Going forward, we’re going to remain highly disciplined to continue our track record of consecutive quarterly profits. Well, always thinking forward to ensure we have the growth drivers in place to execute and build a world-class enterprise rolling in value continually. We’re here to answer any questions, and thank you all for your time.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mark Argento with Lake Street. Please proceed. Your line is open.
Mark Argento: Hey Ross, just wanted to maybe dig in a little bit on kind of additional asset flows. It sounds like you’re starting to see a pickup in activity here in the second half already. Is there any industries that you can point to that are picking their head up a little bit? Maybe give us a little more color on what’s going on in the market.
Ross Dove: Yes. Let me do it twofold. First on the financial asset side, and then second on the industrial side where I’m proud to say we had a killer option today. So on the financial side, there was a tremendous amount of capital that did go into buy now pay later. It was really the only kind of growing sector during this really kind of hiatus and consumer spending for kind of logical reasons. The first reason is over the last year, a lot of people were staying home and a lot of people were purchasing via the internet and the buy now pay later was really very much a proponent of all of that. So we’re now coming into what I’ll call some of the issues with the pay later part. The beginning part did not create supply for us, because as you know, our marketplace is not performing loans, it’s non-performing loans. So there is a cycle between the increase in consumer spending and when those loans become a certain portion of them charge-offs. So we’re just starting to see growth there. And we’re starting to see that’s a lot of the clients that we’ve signed up, we’re basically looking forward and we onboarded them, but they’re just beginning their activity. You’re going to see a much better Q3 and hopefully by Q4, we really are pretty convinced back to normalized flows. So I think that it was not an easy 90 days, but I think it’s a – its 90 days we got through staying profitable and at least in financial assets, we’re very bullish on this year. And on the flip side on basically the industrial assets, there really hasn’t been any insolvency business for the last year to speak of, which is the part of our business. There’ve been Chapter 11 filings, but during kind of this pandemic hold off, nobody was sure they want to do as planned. Hold on. Can you hear me?
Mark Argento: Yes.
Ross Dove: I was getting calls on my phone. I apologize. So there is – we believe very positive growth that I almost want to say it’s starting now. Fair enough, Mark.
Mark Argento: Yes. Back on the financial side, I know you guys have a – I think you have a broker to buy now pay later portfolio and it was like $25 million book, if I’m not mistaken. Is that the same customer or do you got multiple buy now pay later partners, customers.
Ross Dove: Yes. The only difficulties it’s very easy on the industrial side to tell you who our client is. On the financial side they many, many times want to remain anonymous for obvious reasons. So we have several clients, but we generally speaking only give their names to the registered buyer as sort of pre-qualified. But the answer is, we believe it’s going to be a big growth part of our business.
Mark Argento: And then historically, when you – in past cycles, when you see credit and we’re starting to see consumer credit, starting to elevate and granted. You’ve got the offset with the stimulus checks, but historically when you see consumers balance sheet started, it stretched out a little bit. How long does it typically take for that to manifest itself and NPL portfolios being generated and put the market.
Ross Dove: So the cycle is different for each client. It’s not so much different in when it becomes a charge off, it’s different on when they want to monetize it. With some clients, we have forward flows and they’re monetizing their charge offs monthly. Some clients want to wait until there’s a certain build-up and they have a large enough portfolio to make it more attractive. So from really anywhere from 90 days to six months, even seven months sometimes before they actually bring the product to market. So that’s why I’m saying, Q3 – that’s why I’m saying, Q3 will be stronger, but it will be building through Q3, Q4 and Q1 of next year.
Mark Argento: On the financial assets.
Ross Dove: Right.
Mark Argento: Great. Thanks, Ross. Appreciate the color. Good luck.
Ross Dove: Thank you, Mark.
Operator: Thank you for your question. [Operator Instructions] Our next question comes from the line of Michael Diana with Maxim Group. Please proceed. Your line is open.
Michael Diana: Thank you. I was very interested in the statement in the release and you also said it in your prepared remarks about gaining market share, without names, which you just said is sometimes not possible. Could you just give us an indication of what you are thinking?
Ross Dove: I can give you a really good example. Gaining market share is not always gaining market share in the sector you’re strong in. So our strongest sector has been pharma and we’ve had a very strong growth there. But we’ve gained market share in the food processing. We did more food processing auctions recently. They were small, but we signed up very large multinational companies in that segment. So, we’re looking at growth there. We’ve just really begun to make headway in the oil field sector. And one of the largest clients in the world is now used as four times. If you look at our website, you can see, we have an auction of tankers. It’s a pretty large auction for us next week and a year and a half ago, you wouldn’t have saw that, you wouldn’t have saw us making a real big market in that sector. So, we’ve not – we’ve gained market share by expanding not really geographic region, but industrial segments, Michael. So, once all the segments are robust at once, you can expect that the headwinds that we saw this quarter really quickly turned into tailwinds.
Michael Diana: Okay. That’s great. And on the financial side, when you were discussing that, I think you said you had some clients, you said, you onboarded some clients. So, are those your sort of usual suspects, which I understand you have the largest market share, but, or do you have…
Ross Dove: It’s really, we went out and we onboarded not just new sellers, but we onboarded who we think are going to be the top 10 or 15 borrowers that are private companies that basically need capital in order to grow. And all of them have been in the planning stages for what they think is going to be exponential growth in the marketplace on the release of NPLs. So during a time when there wasn’t a lot of volumes, we put a lot of energy into basically going through the stringent process of qualifying them as borrowers, vetting them, going out and seeing their operations, making sure that their SOX compliant. And these are people we’ve known for years, but these are people we now have onboarded. And some of these people we’ve gained market share, because they’ve left other institutions to now start using us as the market picks up. So, we think that Heritage Global capital is the best poised it’s been since inception by far.
Michael Diana: Okay. So, you’re saying both of your sub sectors, if you will, of financial are going to pick up the brokering, the loans from sellers and then financing the buyers?
Ross Dove: Yes. I think that the financing is going to pick up dramatically, because a lot of what we’ve been selling now has been selling to public companies and larger companies that do not really need the use of capital. They have their own post proceeds, but as the market picks up the slightly smaller players that are aggressive, but at the same time, can’t always compete with the large guys on every transaction with more volume, they’ll buy more and as they buy more, we definitely succeed with basically growing our lending platform.
Michael Diana: Okay. That’s great. Thank you.
Ross Dove: Thank you, Michael.
Operator: That does conclude the question-and-answer session. I’ll turn it back to management for closing remarks.
Ross Dove: So this is Ross, the CEO, I’d like to thank everybody for listening. I’ve tried for the last two or three years to let know that we don’t view this as a 90 day business. We view this by the year, and I’m very comfortable that all of you that can look at it that way. We’ll see. We had a lot of progress in the quarter that isn’t always visible, but it will show over time is, how the people inside here strongly feel. So thank you very much for your commitment and thank you for listening.
Operator: That does conclude the conference call for today. We thank you for your participation. And ask that you please disconnect your lines.